Operator: Hello and a warm welcome to the Commerzbank AG Conference Call regarding the Fourth Quarter Results 2024. Please note that this call is being transmitted as well as recorded by audio webcast and will subsequently be made available for replay on the Internet. At this time, all participants have been placed on a listen-only mode. The floor will be open for questions following Bettina Orlopp's and Carsten Schmitt's presentation. Let me now turn the floor over to your CEO, Bettina Orlopp.
Bettina Orlopp: Good morning everyone and welcome to our earnings call for the fourth quarter 2024. This morning, we have not only disclosed our Q4 presentation, but also the slide deck for our Capital Markets Day in the afternoon. This gives you the opportunity to have a close look already at our strategic plan and prepare for the CMD. In this call, however, we will focus on 2024 and our outlook for 2025. Later today at the CMD, we are also happy to answer all your questions on our strategic plan until 2028. Having said that, I'm looking forward to sharing my view on 2024 and 2025, before Carsten will walk you through the financial details of the fourth quarter. Carsten officially started just two weeks ago, but he has quickly caught up as he was with Commerzbank for more than 20 years before he joined Danske in 2021. I'm extremely happy to have Carsten back on the team and I'm really looking forward to our joint endeavor. 2024 has been an extremely successful year for Commerzbank. three key messages summarized it well. First, we delivered a strong financial outperformance with a net return on tangible equity of 9.2%. Second, with €1.7 billion, we returned more capital to our shareholders than planned. And third, this excellent year provides us with a very good starting position for 2025 and beyond. Our results reflect the dedication and hard work of our team. Hence it is important for me to state the fact that we have delivered on our return and cost/income ratio targets for each of the last four years, no matter what others say. Let's have a look at the key financials in 2024 starting with the cost/income ratio. Based on an overall strong revenue growth of 6.2% and by meeting our cost expectations of €6.5 billion, we achieved a cost/income ratio of 59% better than our target of 60%. Our net result increased by 20% and came in at almost €2.7 billion despite a pre-tax burden of €1 billion from legal provisions for FX mortgages in Poland. One of the standout metrics for 2024 is clearly our return on tangible equity, which exceeded our target of at least 8% by significant margin, reaching 9.2% for the full year. This demonstrates our ability to generate strong returns for our shareholders, while maintaining a robust capital position. Our CET1 ratio stood at 15.1% at the end of 2024, providing a solid buffer above regulatory requirements and positioning us well for future growth. With our pre-release two weeks ago, we already disclosed NII and NCI for 2024, both came in better than expected, which is a testament to the quality of our revenues. There were no extraordinary year-end effects within NII and NCI. The strong result rather stems from good client business and diligent margin management. Net interest income remained stable at €8.3 billion despite the challenges posed by increased deposit betas and lower rates towards the end of the year. This stability was achieved through strong deposit growth and effective margin management, especially when ECB started to cut rates. Our net commission income increased by 7% year-on-year, clearly outperforming our targets and expectations, especially the securities business and our asset management activities contributed to the strong growth. Our excellent financial performance in 2024 was underpinned by robust revenue growth across all our business segments. Our Corporate Clients segment increased revenues by 5%, the substantial growth in fee, lending, and rates businesses more than compensating for lower deposit revenues due to higher deposit beta. This performance highlights our ability to adapt to changing market conditions and capitalize on opportunities in the corporate banking space. Looking at private and small business customers, the teams also delivered strong revenue growth driven by 7% higher fee income and deposit volume growth. Moreover, PSBC continues to benefit from contributions from the replication portfolio which will also provide a tailwind this year. Our mBank subsidiary in Poland continued to deliver strong revenue growth supported by good margin management and rising volumes. They achieved growth rates of 10% in both NII and NCI and that this is a remarkable and further proof for the powerful business model of mBank. In terms of capital return, we have made significant progress in returning value to our shareholders. We successfully completed the first tranche of our share buyback program amounting to €600 million and received approval for the second tranche of up to €400 million, which we would start tomorrow. Additionally, we intend to propose a dividend of €0.65 per share at our upcoming Annual General Meeting reflecting our commitment to deliver attractive returns to our shareholders. Overall, we overachieved on our €3 billion capital return target for the period from 2022 to 2024 and distributing €3.1 billion. As we look ahead to 2025, we are well-positioned to build on our successes and continue delivering strong financial performance. We slightly raised our net interest income guidance to €7.7 billion at the lower end of the range and keep the guidance of €7.9 billion in the scenario of forward rates materializing. The connected net fair value contribution is expected to range from €0.4 billion to €0.3 billion leading to a combined guidance of €8.1 billion to €8.2 billion. Based on the strong 2024 momentum and net commission income with a 7% growth rate, we are confident to reach this growth rate again. We target a cost/income ratio of 57% in 2025 and let me be crystal clear on this, if revenues are at risk, we do have the flexibility and the commitment to address this on the cost side. Given the muted outlook for the German economy, we expect a risk result of around €850 million assuming usage of our top-level adjustment. Taking into account the planned restructuring charges of €700 million pre-tax for the headcount reduction as part of our momentum strategy we targeted a net result of €2.4 billion. Excluding these restructuring charges, we aim for a net result of minimum €2.8 billion. This translates into €2.5 billion after AT1 coupons and forms the basis for our targeted payout ratio of 100%. This reflects our new capital return policy which allows the exclusion of certain one-off burdens and applying the payout ratio of 100%. Our CET1 ratio is targeted to be at least 14% assuming a 4% RWA increase due to business growth and some prudent RWA migration on the backdrop of the challenging economic environment. It remains to be seen whether the latter will actually materialize. All the above are obviously subject to further developments with respect to FX loan provisions in our Russian subsidiary. In conclusion, 2024 has been a year of significant achievements for Commerzbank. We have exceeded our financial targets delivered strong returns to our shareholders and positions ourselves well for the future growth. As we move into 2025, we remain committed to delivering value and building on the strong foundations we have established. We are confident in our ability to navigate the challenges ahead. Hence, we will continue driving profitable growth and we got off to a very good start in 2025. Now I would like to hand over to Carsten, who will provide a detailed overview of our financials of the fourth quarter.
Carsten Schmitt: Thank you, Bettina and good morning, everyone. It's a pleasure to be here as designated CFO and I'm very much looking forward to presenting the financials of one of the bank's best quarters. I've spent most of my career at Commerzbank most recently as Head of Finance until I left in 2021. It feels great to be back. I'm impressed by what I've seen in my first days. The bank has made great progress over the last few years and is very well-positioned for the future. The results of the fourth quarter are a testament of this. Let's start with the overview of our financial performance. All key metrics have improved compared to the previous quarter and year-on-year. We achieved a double-digit RoTE in the quarter and I think this, says it all. And it was accomplished with an increased CET1 ratio of 15.1%, while distributing 71% to shareholders. The performance was driven by record level revenues. Net interest income remained on the level of the last quarters, despite lower interest rates. This quarter we delivered the highest net commission income of the year, while historically Q4 tends to be weaker. This success is attributable to our multiple growth initiatives. The positive net fair value result reflects FX valuation effects of our US dollar AT1 issuances, which had a positive impact of approximately €80 million this quarter compared to a negative €40 million in Q3. Net commission income grew by more than 7%, with contributions from all our customer groups. Corporate Clients increased commission income year-on-year, driven by a strong capital markets business thereby, maintaining the level reached in Q3. Private and small business customers in Germany continued its momentum in the securities business, which also includes contributions from Aquila Capital. mBank also delivered a solid quarter. With a broad base of our fee businesses and the ongoing initiatives, we are confident that we can sustain the 7% growth rate in 2025. The next slide provides the product level drill down. Corporate Clients maintained trade finance revenues despite the sluggish German economy, demonstrating our strength in this area. In PSBC Germany, the payments business remained stable. With the initiatives launched in 2024 and the just announced partnership with Visa for innovative card and wallet offerings, we see potential for growth in the upcoming quarters. Let's move on to interest income. Despite lower ECB rates, NII is up 1.6% from Q3. The number one driver was the management of the deposit beta, which came in at 39% after 40% in Q3. This was most pronounced in PSBC and driven by call deposits. There was a relatively high volume with initially guaranteed rates that reached their reset dates. Accordingly, the cost of these deposits was reduced in line with current rates and can be reduced further as interest rates continue to come down. The lower NII and Others and Consolidation was attributable to internal effects that are P&L neutral on a group level. Looking at volumes, the trend from the last quarters is intact. Corporate Clients continued its above-market loan growth of 10% for the year, helping to compensate for the lower revenues from deposits. Deposits grew as corporates strengthened their liquidity towards the end. For private and small business customers, Q4 was the best quarter for new mortgages this year, stabilizing volumes at a slightly higher level than last year. With the ending of the high guaranteed rates on some call deposits, we have seen a slight reduction in volumes, but could keep around 80% of the deposits at the reduced rates we offered. Sight deposit volumes seem to stabilize as we have not seen big swings in the year. During my first days, I noted a continued interest in the investor community in the connection between interest income and the fair value results at Commerzbank. I will therefore, provide a brief overview of the mechanics. There are several ways hedging derivatives in the banking book can be accounted for. Commerzbank reports the complete profit and loss from all derivatives, in net fair value while other banks partially split the P&L in NII and fair value. Although, there is no economic difference, it can have a noticeable effect in the reporting. Given its structurally very strong funding franchise, Commerzbank has a substantial fixed rate funding base. In 2024, not all this funding was used for fixed rate investments. Some variable rate investments are also funded by fixed rate liabilities. To match the cash flows and manage the interest rate exposure from the commercial business, the bank uses hedging derivatives. Funding and investment are accounted for NII, the hedges are accounted for a net fair value. Now if interest rates fall, the interest earned from the variable rate investments falls as well, reducing the net interest income. Simultaneously, the interest payments from the hedging derivatives where we currently pay floating rates on a net basis, declines by a corresponding amount. This in turn increases the value of the derivatives. In principle, this leads to a full offset, but in different line items when interest rates move. On Slide 17, we present a simplified example of fixed rate funding invested at the ECB. This example illustrates the principal offset mechanism between interest income and fair value due to the accounting method used. I don't want to go through this worked example in detail now, but I and the Investor Relations team are happy to walk you through if you're interested. The key takeaways are, the offset between interest rates -- sorry the offset between interest income and fair value is real and simply a result of the accounting method used. It becomes apparent when interest rates move. This offset is only relevant for Others & Consolidation with the matching of funding and investment cash flows takes place. The extent of the offset depends on the bank's position. In 2024, the offset was around 80% in Others & Consolidation. For 2025, we expect a closer match of fixed rate investments and liabilities and thus a smaller offsetting effect in fair value, but at the same time higher NII. Please also keep in mind that these positions are not the only ones contributing to NII and net fair value in Others & Consolidation. This brings me to the next slide with the outlook for NII and related net fair value in 2025. For 2025, we assume an average ECB rate of 2.15% in our plan. Forward rates are currently higher. We have therefore also done a scenario calculation at 2.35% to give an initial range. The same applies for mBank. In our planning, we assumed LIBOR rates of 4.89%, while forwards are significantly higher. We have used 5.64% in an alternative forward rate base scenario. For volumes, we cautiously plan with slightly lower contributions from deposits offset by loan growth. For the deposit beta, we assume an increase by two percentage points to 41%. The replication portfolios will continue to gradually reprice up, adding around €200 million NII in 2025. And finally, mBank's NII is expected to be around $200 million lower based on our conservative rate assumptions for Poland. Adding these effects together, we arrived at €7.7 billion for 2025. Using the forward rate scenario, this increases to €7.9 billion. For the offsetting fair value effect, we are in a range of €400 million to €300 million depending on the rates used. Overall, we expect NII and connected change in fair value to be around €8.1 billion to €8.2 billion in 2025. Now to cost, on Slide 19. Operating expenses excluding mBank was strictly managed during the year and are around 2% higher than last year due to higher HR-related costs and the acquisition of Aquila, partially offset by FTE reductions in Germany and ongoing shoring activities. mBank's costs increased by 14% because of investments in business growth and FX effects. This is in line with mBank's cost/income ratio steering. Thanks to better-than-planned revenues, the group cost/income ratio reached 59% and is ahead of target. For 2025, we aim to further reduce the ratio to 57%. The next slide details the risk results. The Q4 risk result came in at €214 million, leading to a full year risk result of €743 million. There was only a marginal reduction of our top level adjustment to €228 million. Despite the challenging environment, our portfolio remains robust. Nevertheless, based on the muted economic outlook for 2025, we expect a somewhat higher risk result of approximately €850 million in 2025 assuming usage of the top level adjustment. This completes the overview of the key line items and I will now move on to the results summary. I have already covered the main drivers of the operating result and therefore focus on the net results. In Q4, the tax rate was 18%, mainly due to additional DTA on FX loan provisions in Poland, as well as the reduced prior tax year tax provisions. The financial year's tax rate is 26%. For 2025, we expect a tax rate of around 25% to 30% depending on future developments in Russia and Poland. On the next slide, I will briefly cover the operating segments starting with Corporate Clients. Corporate Clients, again, delivered a good performance with revenue 7% year-on-year and costs slightly lower. The main driver of the lower operating result was the risk result that was low in 2023. The same holds for the whole year, 5% higher revenues and 4% lower costs were offset by higher cost of risk due to the slower economy. Despite this headwind, the operating return on equity has remained above 20% with a very good cost/income ratio of around 45%. PSBC Germany achieved a remarkable 51% increase in the operating result compared to Q3. It was driven by 11.6% higher revenues from broad-based growth and includes a revenue increase from Aquila Capital. There was also a benefit from the risk result that was -- that mainly came from model effects and a small release of the TLA. Costs were maintained on the level of the last year. Due to one-off bookings last year, the year-on-year comparison is not very meaningful, but also excluding the one-off there's been a very noticeable improvement. For the full year, PSBC Germany increased their operating result by an impressive 56%. The drivers are the same as in the quarter, good revenue growth, significantly lower risk results and almost flat costs. With RWA on almost the same level as last year, this led to an improvement of the operating return on equity by 13 percentage points to 34%. mBank continues to perform well on the operating level with a 25% year-on-year increase in the operating result, excluding legal provisions. Compared to Q3, it is 5% lower, mainly due to higher costs from investments in growth. mBank has made further significant progress in reducing the legal risks from FX mortgages. Still outstanding mortgages are well provisioned for in 2024 and the number of pending lawsuits for FX mortgages was reduced by a quarter to 16,000. In Q4 the number of new court cases was 63% lower than in Q4 2023. We, therefore, stick to our outlook that the burdens from FX loans should decrease materially in 2025. Finally a quick look at Others & Consolidation. Others & Consolidation had a slightly positive result of €15 million in the quarter. Interest income is lower due to internal effects that are neutral on group level. The better fair value result is a valuation effect from AT1 issuances in U.S. dollars in Q4. In Q3 this effect was negative. As part of our strategy that we will present later today, we have decided to transfer the Structured Solutions and Investments unit from Treasury and Others & Consolidation to Corporate Clients. Thereby, we strengthen our customer franchise and increase the revenue potential. To first give you some background information. Others & Consolidation employs €215 billion assets and €36 billion of RWA. Thereof, €17 billion RWA are corporate items, of which around €4 billion are for DTAs and around €10 billion are buffers that were built in the context of reviews of our internal models. The buffers will be released this year as the issues covered are being implemented in the risk methodology. In the process, RWA of a similar size will be reallocated to the respective positions. The remaining €19 billion RWA are related to treasury activities. Most of the treasury assets are cash and liquidity reserves that we use to manage liquidity and regulatory requirements. These and related core treasury activities are responsible for approximately €5 billion of RWA. The remaining €14 billion RWA belong to structured solutions and investments, holding around €103 billion of assets. This consists of two parts: one part is €6 billion RWA of legacy assets. This is mostly long-dated Italian government risk and other public sector related exposures. They are hold to collect positions and are run down in a value-preserving manner. In the last four years, the portfolio was already reduced by one-third. The other part is €8 billion RWA invested in high-quality assets. The purpose of these investments is to deploy our excess capital in a liquid and accretive manner until it can be redeployed either in the business units for growth or to shareholders. As part of our strategy review, we have decided to move Structured Solutions and Investments out of the Corporate Center to Corporate Clients. We see know-how and client coverage synergies with our capital markets team and believe that this will improve the management of the assets and lead to value accretion and higher P&L contribution going forward. As part of Corporate Clients, Structured Solutions, and Investments will also be subject to Corporate Clients' efficiency targets. On this slide, we have provided a pro forma for the transfer and we will report in the new structure from Q1 this year. I will now move to the RWA and capital development on the next slide. Following the inclusion of retained earnings and capital, the CET1 ratio reached 15.1%, well above our target of 13.5%. RWA increased quarter-on-quarter mainly due to higher operational risk RWA, reflecting better operating revenues. For 2025, we target a lower CET1 ratio of at least 14%. As previously guided, with the help of buffer releases, we will not have a material RWA impact from Basel IV this year. The reduction of the ratio is due to expected RWA growth and the planned capital distribution to shareholders above 100%. The reason for the high distribution is that we plan to base the payout on the results before deduction of the one-off restructuring charges we will book this year. This brings me to the end of the presentation. Let me summarize the key highlights. We have kept net interest income stable in 2024 and improved our starting position for 2025, thanks to a higher deposit base and growing loan volumes. We have grown our commission income by 7% and expect this momentum to continue in 2025. We have successfully managed our cost base. While 2025 will see around 5% higher costs, we have measures in place to manage cost increases down to around 2% midterm, driven by investments. Our risk position remains resilient and we expect only a moderate increase in the risk result despite the challenging economic environment. For 2025, we expect provisions for FX loans in Poland to be well below 2024 levels. And even more importantly, 2025 should be the last year with larger provisions for these FX loans. Overall, we are well-positioned for 2025 and ready for the next step of our transformation with our momentum strategy, which we will present this afternoon. Thank you very much for your attention. Bettina and I are now looking forward to taking your questions on the 2024 financials.
Operator: Thank you very much. [Operator Instructions] The first question is from Jeremy Sigee of BNP Paribas. Over to you.
Jeremy Sigee: Thank you. Good morning and congratulations on the numbers and the new plan. Two questions if I could, firstly just a clarification. I think you said the payout above 100% in 2025 basing it off pre-restructuring earnings, is that just a technicality? And -- or does it need special approval from the ECB? Is that just an accepted adjustment that you're allowed to make without special approval, so that's just a smooth thing to do? First question. And then the second question is just within your cost assumptions, I just wondered what level of wage inflation you're expecting in 2025 and what that was in 2024? Thank you.
Bettina Orlopp: So, Jeremy on the payout 2025, the above 100%, yes, I mean it's now part of our capital return policy which we aligned with our Supervisory Board and we agreed with the ECB on the acknowledgment that restructuring costs would fall under this one-off rule. So, they are fully aware of what we are saying today. And on the cost assumptions, I mean, we always have the external agreements with the unions. As you know, there was the first increase in August 2024. And there will be another increase this year. Last year it was 5%. And this year, it will be 4% for the non -- for the pay scale workers. And we have an increase for the non-pay scale workers by 1st of January, also in the size of 5%.
Jeremy Sigee: Great. Thank you very much.
Bettina Orlopp: Thanks a lot.
Operator: Next question comes from Borja Ramirez of Citi. Over to you.
Borja Ramirez: Hello. Good morning. Thank you very much for your time and for taking my questions. I have two. The firstly is on the NII. So the deposit beta declined one percentage point quarter-over-quarter in Q4. I would like to ask, if you could provide a bit more details on the moving parts and also if it's possible to give some details on deposit beta year-to-date. And then, my second question would be on the structural hedge. So I think you've increased it to €138 billion, if I'm not mistaken. Is that the deposit replicating portfolio? Or could you also provide the equity replicating portfolio as well please? Thank you.
Carsten Schmitt: Yeah. Let me start first with the NII and deposit beta question. In Q4, we saw a decline in the deposit beta as also mentioned mostly due to sort of the maturity of higher rate sight deposits which we had in the PSBC area, which then managed the deposit beta down to 39%. You asked for the year-to-date development. For 2025, we have planned conservatively with a deposit beta of 41% especially leading this to the planned growth in deposits that we see for this year. But we will of course continue to manage this figure as we also did last year.
Bettina Orlopp: And on the structural hedge, the €138 billion is indeed purely coming from deposits.
Borja Ramirez: Thank you. If I may a follow-up on the repricing of deposits, is it possible to provide details on the amount of deposits that repriced in Q4? And also how many deposits will be repricing during 2025, please?
Bettina Orlopp: I mean, it's very clear that the latest agreements we have with clients is that, we no longer have really long-term core money with long-term agreements on the interest rates but that we can change that as interest rate situation change. So we have much more flexibility than we had basically a year ago.
Borja Ramirez: Thank you.
Operator: Thank you very much. The next question comes from Johannes Thormann of HSBC. Please go ahead.
Johannes Thormann: Good morning, everybody. Three questions from my side, please. First of all, on your risk result could you add some more granularity say, e.g. how many bigger defaults have been in this quarter? Because €240 million especially considering we had only very few TLAs is still a big chunk. And then, what industries have you seen? And what kind of companies have you seen defaulting? Secondly, on your targeted loan volume growth, what is driving your mortgage portfolio, as the book has been pretty flat this year or even declining whereas the market is seeing an all-time peak in September according to Bundesbank data. And you now just saw a small up-tick how much of new business should we expect in the next years? And last but not least on the Polish FX mortgages, you say they are materially declining in 2025, will this be a steady decline or pretty volatile? What means material by percentage points? Thank you.
Bettina Orlopp: Thank you, Johannes. So, on the risk result, I mean in the fourth quarter we again had single cases. I know you can't hear it, but it's just a matter of fact. I mean we have seen an increase of default rates as we will have seen that last year and we also see that in our portfolio. But there's no systematic pattern, it's really across industries. That's been again in Germany and you see also in the allocation that the majority happens in Corporate Clients in the moment. And -- but there is not a certain industry which worries us in that. And -- I mean it's still a risk result we think which is a good one given our environment and the two years in a row as a recession and we are a bank, so you would expect that we also take our share of defaults in that. So, really nothing where we would say, we are now specifically worried about the industry. On the target loan volume growth on mortgages, I mean the thing is that we had some very, very strong years a couple of years ago. And what we now see is -- and if you remember in our original plans for Strategy 2027, we even thought that mortgage volume would go down. We now have corrected that. And also in '23 and '24, the volumes have been kept pretty stable and we also saw an uptick that we are now on much higher activities than for example we saw in 2023 and we believe also given price development, interest rate development that we would see here a nice growth. We would probably not come back to the levels which we have seen, but we will have a very nice and decent activity in this area. And on Polish FX mortgages significantly declined means to significantly decline. So if €1 billion is significantly lower it's something in a lower 3-digit number range. But if we would know we would have booked it. So we really have to wait quarter-by-quarter what's happening, but the management team in mBank is very much committed in doing the settlements and therefore we take it as it comes.
Johannes Thormann: Sorry, if I may add one question on the defaults. Have there been any larger cases in the range of €50 million to €100 million? Or is this pretty granular?
Bettina Orlopp: No. There has been larger cases actually. So it's really very much -- this is why we speak about single cases because these single cases are rather larger.
Johannes Thormann: Okay. Thanks.
Operator: Thank you very much. The next question comes from Benjamin Goy of Deutsche Bank. Please go ahead.
Benjamin Goy: Yes, hi, good morning. 2 questions from my side please. So the first, on fee income. I mean you started '24 on a pretty pedestrian run rate in absolute, but also relative terms to the industry. And now you almost exited in full sprint. So just wondering, what has changed. Is it really just market tailwinds? Or maybe you can tell us a bit more how you have changed the organization and maybe the focus of it? And then secondly, on the share buybacks they get -- likely get ever larger so you have a bit of a luxury problem. Maybe you can just explain more how you plan to do the approvals and the timeline of it to do such significant programs? Thank you.
Bettina Orlopp: Well, I mean on the fee income, what we have seen in 2024 is the unfolding of all our measures which we have started already back in 2023. And it's not one lever and that is an important part, but it's across the bank. So, mBank is delivering, Corporate Clients is delivering, Private Clients is delivering. In Private Clients clearly the consolidation of Aquila helps and also the activities around the security savings plans with a broader client base in retail help. So it's really comdirect had seen very good activity with respect to transactions. So it's really the different measures that all pay off and apparently work. I think the only part where you have not seen real growth yet, where we expect much more also in the coming years is the payment side and in Private Clients. But there we believe that not only our partnership with Global Payments will pay off and will show first effects, but also clearly the new strategic partnership with Visa. On the share buybacks, I think we now have find a good modus operandi to say it like that. I mean we always start the year. We have a look how the year develops. And as I said before, it has started nicely. And then after our AGM and basically with our H1 results, we can then see how the year is. And then most likely, we again will apply for the first share buyback program because share buybacks are apparently subject to regulatory approval.
Benjamin Goy: Understood. Thank you.
Operator: Thank you very much. The next question comes from Anke Reingen of RBC.
Anke Reingen: Thank you very much for taking my question, and thanks for the additional detail on NII and income. But I have just two simply number questions. About the AT1 coupon, I think you're implying this could be about €300 million in 2025. Is that basically the run rate we should be expecting in the next years and which you assumed in your longer-term targets? And then on the €8.1 billion to €8.2 billion NII plus fair value result is that including your like trading fair value result as well? Thank you very much.
Carsten Schmitt: Thank you for the questions. Let me start with the AT1 coupon. And to go straight to the question yes we are expecting a stable cost of €300 million over the next years. As you know we are also sort of active and have just recently issued and are using our issuances to manage the cost out of our AT1, but they remain stable and we have that also reflected this way in the plans for the next years. Secondly, on the question on the €8.1 billion to €8.2 billion this is purely NII and your connected fair value results attributable to NII.
Anke Reingen: Thank you very much
Carsten Schmitt: Trading income would come on top to be absolutely clear on that.
Anke Reingen: Thank you.
Operator: Thank you also from my side. The next question comes from Riccardo Rovere Mediobanca. Please go ahead.
Riccardo Rovere: Yeah. Good morning everybody. Thanks for taking my questions. A couple if I may. First of all, may you please list all the assumptions that you think are kind of conservative when you look at 2025 NII because that is my understanding when Carsten was talking a while ago there were some areas here and there. So if you can exactly list all areas that you think might eventually be conservative? And the second question I have is right at the beginning of the call Bettina you stated that if revenue for whatever reason is do not progress in line with expectations, we have room to cut costs. I was wondering whether this is something that affects the plan as a whole, the strategy as a whole so the period 2024-2028 or it's something that is applicable also for 2025? And if that is the case, would it be possible to have a better idea of what cost actions you might eventually enable if revenues did not move according to plan? Thanks.
Carsten Schmitt: Yes. Hi, Riccardo let me take the first question on NII development in 2025. You asked for the conservative parts in it. As mentioned, we are currently sort of looking at forward rates, especially in euro for 2025 that are slightly higher than the cutoff for the point in time when we developed the plan. So we think that there is a bit of room on that end. On the deposit beta, exiting 2024 with 39% and planning with 41% for 2025 shows you that we are conservative on that end and we will continue to manage this. And then thirdly, the deposit volumes which have seen significant growth last year will continue to grow. We are focused on expanding this in a profitable manner and hence also see this as a conservative assumption. And then lastly, exiting the euro space I also mentioned that the rates in Poland are currently significantly higher on the forward side, than what we have in our plan. So, this should be the fourth part of this.
Bettina Orlopp: And Riccardo, on the cost side, I said that explicitly also for 2025, and you will see that later in the CMD pack where we also have shown not only the way from 2024 to 2025, but then also to 2024 to 2028 that we have certain costs, which will just happen because of inflation, because of regulation and other things and where we have a number of efficiency measures, which will be used to mitigate these effects. And then, we have investments, because this is a growth story, which we want to implement. But it's also clear that if the growth is not unfolding as we hope for, then we will adjust costs that might involve the buildup of additional relationship managers, which we are planning in the foreign locations, but that might also be that we're a little bit more restrictive on marketing spending, so all the things which you can implement quickly, but we have flexibility in here. And as I said, we are ready to use this flexibility if necessary. But as I said in the moment at least the first weeks of 2025, indicate that we are on a very good path in achieving our targets. Again, also for 2025.
Q – Riccardo Rovere: Fair enough. Thank you. Thank you very much. Maybe just you should -- on NII, you should start reporting, NII split into two components, which is something I think you made a while ago. So it's just clear for us, what part is NII, but is -- from an accounting standpoint, it has to be accounted as maximum value maybe just a suggestion, it would make the life of everyone I think easier.
Bettina Orlopp: Okay. Thank you, Riccardo.
Operator: Thank you very much. And moving on to the next question. The next question is from Máté Nemes of UBS. Over to you.
Q – Máté Nemes: Yes. Good morning. Thanks for taking my question. I have a question on loan growth, specifically, in Corporate Clients. We've obviously seen good dynamics in the last quarter. I think you flagged international corporates driving that new infrastructure finance and so on. To what extent, do you think this is something that could continue into 2025? And generally, how do you assess loan demand in your corporate business? That's, the first question. And then, secondly, just a quick clarification in Poland. On the slides, you mentioned, that you expect a Swiss franc mortgage provision, below the levels recorded over the period 2022-2024. Does that mean, below the lowest level over that period? Or should we think of an average here? Thank you.
Bettina Orlopp: So on loan growth in Corporate Clients, I mean, we've seen nice activity as we have seen already in 2024 and that has to do with the fact that our Corporate Clients are in the moment investing. They are unfortunately not investing in Germany or Europe, but they're investing in the US and in Asia. And also for 2025, if you look on the numbers, we expect a significant growth in loans. And we see also a lot of activity. I think the question only is where will it happen. Mittelstand clients are prepared to also invest in Germany, but that is very much dependent on the outcome of the election in 10 days, because they want to have a stable government, which is able and willing to implement some necessary reforms. And then you will see also more activity here. Otherwise, we will see the trend continuing that investments take place, but outside of Germany and Europe. And we are always at the sight of our clients, as we have proven also in 2024. So we are very optimistic also on the loan growth for 2025. On Poland, I'm not entirely sure that I got your question. But -- I mean last year, we have booked €1 billion. And what we are saying for 2025 is that, this number should be significantly lower as we really see and we are in the moment the only bank, who see Stuttgart [ph] also declining court procedures. So we are able to settle more and we also clearly get some decisions in than we get new requests in. So therefore we think that 2025 should be really the last year where you see -- where we report really larger provisions for that. And after that it should be hopefully something we are not talking about anymore.
Operator: All right. Thank you very much. Next question is from Stefan Stalmann, Autonomous. Stefan Stalmann
Stefan Stalmann: Yes. Good morning and welcome back, Carsten. I have two questions please. Starting with slide 38, where you described your provisions and your NPLs. You have basically added €1.2 billion of Stage 3 loans during the quarter, but only about €100 million of Stage 3 provisions in that the coverage ratio has risen -- declined quite noticeably as a result of this. And by the way the trends are very similar if I look at it year-on-year so the question is how confident are you that this increased level of Stage 3 loans does not require higher provisions at some stage? And the second question relates to Aquila. Can you give us maybe a rough sense of how the assets under management of the business have developed since you took control? Thank you very much.
Bettina Orlopp: Very well. So on the Stage 3 thing well-spotted. It has to do actually with one case out of legacy which is however from a credit risk point fully protected. And therefore we had to shift it into Stage 3, but we had no necessity to really book a lot of loan provisions on that. That's the reason for the change. And on Aquila we have seen a nice pickup specifically in the fourth quarter. Actually to say not something wrong we would need to look up the volumes. There has been volume growth but we need to come back to you after the call to get you a little bit more concrete numbers.
Stefan Stalmann: Great. Many thanks.
Operator: Thank you very much. At the moment, there are no more questions. [Operator Instructions] One moment for the next question, please. [Operator Instructions] The next question is from James Murphy of [indiscernible] . Over to you.
Unidentified Analyst: Hi. Sorry just a pretty simple question actually. Like the pace of deposit growth that we're seeing in Poland and also the pace of deposit growth we're seeing in Germany, I presume this means that the structure would naturally rise over the next couple of years. I know it was asked earlier just in terms of structural hedge move and you said deposit growth was so strong. Can you just give us your thoughts on deposit growth in terms of why it's so strong in those regions and the evolution of the hedge? Thanks.
Carsten Schmitt: Thanks for the question James. So the growth in deposits in Germany is similar to last year linked to attracting volumes from our savings customers. Similar development we see in Poland. You asked for the development of the hedge so the replication portfolio I would think you're referring to and for the replication portfolio as we discussed earlier we will of course, sort of, adjust the size if the growth is maintained and then model the volume according to how we usually do this. As you know we have different tranches with an overall sort of maturity of two, five and 10 years and we will adjust that according to the growth.
Unidentified Analyst: Okay. Thank you.
Operator: Thank you very much. Next we have a follow-up of Riccardo Rovere of Mediobanca. Over to you, Riccardo
Riccardo Rovere: Thanks. Thanks for taking my follow-up. If I look at slide 15 -- 1-5 and look at deposits volume excluding mBank, you group -- in Corporate Clients and in PSBC you group term and call and saving deposits. Now correct me if I'm wrong, sight deposits can be repriced. As far as I know, call deposits are somehow market related so they can be repriced. Among the €42 billion and €92 billion, what's the part which is term that eventually may not be contractually repriced in 2025? Is it possible to have a rough idea of that?
Bettina Orlopp: I mean the majority of what we have is in call. Actually on Private Clients, there's very, very few term left. The majority is really inside and in call deposits. On the Corporate Clients side, you have a little bit more term deposits, but nothing, which is really worrying us.
Riccardo Rovere: So out of the €274 billion term is residual. This is what I get.
Bettina Orlopp: Yes, it's nothing, which is really moving the needle.
Riccardo Rovere: Okay. Thanks.
Operator: Thank you very much. At this moment, there are no more questions in the queue, so maybe one more moment. [Operator Instructions] There is another follow-up of Borja Ramirez of Citi. Over to you.
Borja Ramirez: Thanks very much. I have a quick follow-up on fees. So you plan a strong fee growth in 2025. I would like to ask if you could give a bit more color on the drivers behind the fees, because I think also -- I'm not sure if consensus, have fully included the fees from the recent bolt-on acquisitions. So also, if you could provide details on how many fees are coming from Aquila and the other acquisition? Thank you.
Bettina Orlopp: So I mean, Aquila was only consolidated by mid of the year. So the contribution is the medium-size double-digit number and that will clearly increase, because we then have the full year for 2025 plus we see nice growth there. And besides that the drivers are exactly the same also for 2024, really across all segments except Private Clients, Corporate Clients and mBank. And there it's securities, it's asset management, and it's payments. And also specifically payments, we believe will drive some of the growth which we will see in 2025.
Borja Ramirez: Thank you.
Operator: Thank you very much. With that, I would like to close the Q&A session, and I'm handing the floor back over to the host.
A - Bettina Orlopp: Very well. So thank you very much. I assume that we see all of you later on during our CMD, and we are looking very much forward to a, presenting our upgraded strategy, and b, answering your questions later on. Thank you very much.